Operator: Good morning ladies and gentlemen and thank you for standing by. Welcome to Keurig Dr Pepper’s Earning Call for the Fourth Quarter and Full Year of 2018. This conference call is being recorded and there’ll be a question-and-answer session at the end of the call. I would now like to introduce your host for today’s conference, Keurig Dr Pepper Chief Corporate Affairs Officer, Ms. Maria Sceppaguercio. Please go ahead.
Maria Sceppaguercio: Thank you and hello everyone. Thanks for joining us. Earlier this morning we issued our press release for the fourth quarter and full year of 2018. If you need a copy you can get one on our website at keurigdrpepper.com in the Investors section. As you will recall for the last quarter the discussion of our Q3 performance was largely on an adjusted pro forma basis due to the merger. And our discussion here today will be consistent with that. The company believes that the adjusted pro forma basis provides investors with additional insight into our business and operating performance trends. While these pro forma adjustments and the exclusion of items affecting comparability are not in accordance with GAAP, we believe that the adjusted pro forma basis provides a meaningful comparison in an appropriate basis for discussion of our performance. Details of the excluded items are included in the reconciliation tables included in our press release and are discussed in detail in our 10-K which will be filed later today. So it was quite an exciting 2018 now in the record books, our attention turns to driving another year of strong performance for KDP in 2019. Here with me today to discuss our results for 2018 and our outlook for 2019 are KDP Chairman and CEO, Bob Gamgort and our CFO, Ozan Dokmecioglu. Also with us today is our recently hired Vice President of IR, Tyson Seeley who some of you already know. Tyson will lead the IR team here Katie at KDP reporting to me. For those of you who don't already know Tyson I'm certain you will enjoy working with him. And finally our discussion this morning may include forward-looking statements which are subject to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially and the company undertakes no obligation to update these statements based upon subsequent events. A detailed discussion of these risks and uncertainties is contained in the company's filings with the SEC. And with that I'll hand it over to Bob.
Robert Gamgort: Thanks Maria and thanks to everyone for dialing in. We're very pleased with the strong results delivered in Q4 and for the full year 2018 and we are especially proud of the progress we have made in creating our new beverage company. We expect to create sustained shareholder and stakeholder value over the long-term. We have largely completed our integration bringing together 25,000 employees under a unified culture and harmonized processes. And we have established a singular focus to capture growth across the majority of beverage occasions in North America. Most importantly our in market business momentum never lost a beat while we are in progress of integration. A real testament to the quality of our team members and the strength of our integration program. We drove growth across the majority of our portfolio in 2018 and are on track to deliver our synergy goals and are in position to deliver the overall value creation targets we communicated at the time of the merger even in an environment that has become much more challenging over the past year. Let's talk specifics for 2018 before we speak to our expectations for the coming year. I will begin with in market results based on IRi. Retail market performance was strong across most of the business. Our CSD portfolio registered market share growth in both units and dollars with strong dollar performances from both Dr Pepper and Canada Dry and to a lesser extent A&W, Squirt, and Schweppes. Outside of CSDs we gained share in multiple cold beverage segments such as enhanced flavored still water, premium unflavored still water, ready to drink coffee, apple juice, vegetable juice, and mixers. Our coffee portfolio also delivered strong results in 2018 driven by unit growth approximating 10% for products manufactured by KDP outpacing category growth of approximately 8%. In dollar terms KDP manufactured pods grew over 4% in a category that advanced approximately 3%. As a result the dollar market share of pods manufactured by KDP advanced to 82%. Turning out the total company financials on an adjusted pro forma basis, net sales were up 2.3% for the year with strong revenue growth registered for all segments except coffee systems which was up in volume but essentially flat in dollars due to our previously discussed strategic pod pricing investments. Operating income advanced approximately 7% to $2.6 billion with double-digit growth in the second half of the year, more than offsetting flat performance in the first half. For the year the profit contribution from growth in net sales and continued strong productivity was partially offset by increased inflation and input costs and logistics. Further the operating gains from changes in the Allied Brands portfolio in 2018 were less than those realized in 2017. Adjusted diluted EPS advanced 22% to $1.04 for the year, squarely in line with our targets. Reflecting the growth in operating income and lower interest expense as well as the benefit of non-operating income recorded in 2018 related to a cash distribution from BODYARMOR and a gain from the acquisition of Core, also benefiting the comparison with the lower effective tax rate in 2018 due to U.S. tax reform. Turning to our segments on an adjusted pro forma basis. I'll start with beverage concentrates which posted strong results for the year. Net sales which represents our sales of concentrates to bottlers and syrups to fountain customers advanced approximately 4% driven by growth in both net realized pricing and volume mix. The increase in net sales was driven by very strong growth of Dr Pepper and A&W as well as increased sales Squirt, Schweppes, Big Red and Canada Dry. Operating income for beverage concentrates advanced 5% for the year reflecting the strong net sales performance and slightly lower marketing spend. Turning to packaged beverages. Packaged beverages delivered 4% growth in net sales for the year reflecting volume mix growth of 5.4% for continuing brands, partially offset by the anticipated unfavorable impact of 1.2% resulting from changes in the Allied brands portfolio during the year. Pricing for the year was essentially even with a year ago driven by the pricing actions implemented in late Q3 that offset lower net price realization earlier in the year. Driving the net sales momentum with double-digit revenue growth of Canada Dry, reflecting successful innovation Dr Pepper also registered growth for the year driven by the particular strength of our college football marketing campaign Standstill which featured an engaging storyline that played out over the course of the season. Core and Bai also posted very strong growth partially offset by Fiji, Vita Coco and Hawaiian Punch. Contract manufacturing also contributed to the revenue growth for the year. Operating income and packaged beverages declined approximately 10% for the year primarily due to inflation that was not covered until we took pricing late in the third quarter. As well as the impacted gains recorded from Allied Brands being lower in 2018 than 2017. Partially offsetting these factors were the benefits of net sales growth and productivity. Illustrating the importance of our late year pricing actions, operating income for packaged beverages accelerated in the fourth quarter growing more than 8% which Ozan will cover shortly. As we head into spring we see the benefits from the launch of Diet Canada Dry Ginger Ale Lemonade and the introduction of Canada Dry Ginger Ale and Orangeade both of which will be supported by marketing investment. In addition we have continued innovation plan for Dr Pepper and Snapple among other brands. Turning now to Latin American Beverages. Latin American beverages had a strong year with net sales advancing 4% and operating income up 28%. The net sales performance reflected higher net pricing of 5.5% and favorable volume mix of approximately 1% partially offset by unfavorable foreign currency translation of 2%. Penafiel led the growth in net sales along with Clamato, Squirt, and Mott. Operating income for Latin American Beverages grew 28% to $82 million for the year primarily reflecting the growth in net sales as well as the favorable impact of comparison to a year ago write-off of prepaid resin [ph] inventory and to a lesser extent productivity. Now turning to the coffee system segment, coffee systems had a solid year with volume mix up 3.2% driven by strong K-Cup pod volume growth offset by lower net realized pricing of 3.7% reflecting the previously discussed strategic pod pricing investment which continues to moderate. K-Cup pod volume grew 7.4% for the year driven by increased household penetration of the Keurig Brewing System which expanded by 7% percent and is now approaching 22% on a rolling 52 week basis ending December. Somewhat counter intuitively brewer volume declined 1.5% despite the growth in household penetration. This is a result of increased brewer quality which is led to consumers holding on to their brewers longer and has also resulted in fewer returns. Brewer sales were also impacted by the discontinuation of select legacy brewer models partially offset by the success of our recently introduced K-Café and redesigned K-Mini. Since 2016 our entire brewer lineup has been refreshed or replaced with new models. The launch of K-Café which was supported by the second year of our Brew the Love Campaign featuring James Corden has been well received in the market. K-Café enables consumers to make lattes and cappuccinos at home using any K-Cup pod. The consumer reviews of the new brewer has been exceptionally strong. In addition our updated K-Mini brewer platform which features a modern sleek design and improved coffee quality and temperature is another example of our robust innovation pipe program designed to drive new house of penetration in the Keurig system. Operating income for coffee systems was up a strong 9% for the year primarily reflecting volume growth and strong productivity, partially offset by strategic pod pricing investment, inflation, and higher marketing. As you know partnerships are a key element of our coffee system strategy and in 2018 we added Tim Hortons, the iconic coffee brand in Canada which was previously unlicensed and Pinero [ph] the well regarded bakery cafe brand in the U.S. We've also signed an agreement with Met café [ph] in Canada previously an unlicensed brand which we will begin distributing in 2020. We also added and expanded multiple private label partnerships in 2018. And finally the strong pace of brewer innovation will continue in 2019. While too early to share the specifics today, on our next call we will have the opportunity to discuss our 2019 innovation plan which will begin shipping in Q2. We will also be increasing our investment behind Keurig brand marketing this year. Before I turn it over to Ozan to provide more detail on the latest quarter and 2018 full year I will speak to our 2019 targets. For the full year we're targeting adjusted pro forma diluted EPS's growth in the range of 15% to 17% representing a $1.20 to $1.22 per share. This growth rate is the same as the long-term target we communicated at the merger announcement over a year ago despite an increasingly challenging operating environment marked by higher inflation and CSD industry volumes that are somewhat pressured by the elasticity impact of pricing. To navigate these pressures we are strengthening our productivity efforts and investing in innovation, marketing, and retail execution to continue to drive market share gain. With that I'll hand it off to Ozan.
Ozan Dokmecioglu: Thanks Bob and good morning everyone. Let me start with the results of the fourth quarter which was another really good one for KDP. I will then transition to our outlook for 2019, continuing on an adjusted pro forma basis. Net sales for the fourth quarter increased 0.5% to $2.81 billion compared to $2.80 billion in the prior year which reflected underlying net sales growth of 2.3%. The difficulty offset by an unfavorable impact of 1.8% from changes in our Allied Brands portfolio which we expected. The underlying 2.3% growth was driven by higher volume mix of 2.7% partially offset by unfavorable foreign currency translation of 0.4 percent. Net realized pricing in the quarter was flat. Operating income in the quarter increases nearly 14% to $720 million. Compared to a $638 million in the prior year. This past four months primarily reflected strong productivity, lower general and administrative expenses, reduced marketing spending and the benefit of the net sales growth. Partially offsetting these drivers was inflation in input costs and logistics. On a margin basis operating income advanced 280 basis points in the quarter to 25.6%. Before turning to a quick review of the segments, it's worth noting the acceleration in performance in the second half of 2018 versus the first half prior to the merger close. Specifically operating income advanced 13.5% versus year ago in the second house compared to a slight decline in the first 6 months of 2018. This is a step up in performance lastly reflected very strong productivity and the benefit of pricing actions in packaged beverages taken in the fourth quarter. In terms of segment performance for the fourth quarter, on an unadjusted pro forma basis. Net sales for beverage concentrates increased 4.8% to $352 million driven by higher net price realization 2.6%, an increased volume mix of 2.4% partially offsetting these positive factors was unfavorable currency sensation translation of 0.2%. This growth was fueled by sales of Dr Pepper along with increases in 7UP, Big Red, Schweppes, and Sunkist. The shipment volume growth for beverage concentrates was driven by Canada Dry, Dr Pepper, Big Red and Sunkist. In terms of bottler K sales, beverage concentrates registered growth of nearly 1% in the quarter. Operating income for the beverage concentrates increased more than 14% to $242 million reflecting the benefits of the net sales growth and lower marketing products [ph] offset by installation. As a percentage of net sales, operating margin advanced 570 basis points versus a year ago to 68.8%. Net sales for our package beverages segment but essentially given a year ago at $1.18 billion including the unfavorable impact of 4.2% from the changes in our Allied Brands portfolio which we had expected. Excluding this impact underlying net sales grew 4.3% deflecting favorable volume mix of growth of 2.7% and net price realization of 1.7%. Unfavorable foreign currency transition was 0.1% served as a slight offset to the growth. Driving the strong underlying net sales growth of our Canada Dry, Core, Dr Pepper, Big Red and Motts as well as contract manufacturing. Operating income for packaged beverages increased 8% to $206 million largely reflecting the underlying -- growth including pricing actions taken late in the fourth quarter as well as favorable product mix, productivity savings, and lower marketing spending. These factors were partially offset by inflation and the unfavorable comparison against a $21 million gain owned by in the fourth quarter of 2017. Net sales for Latin American Beverages increased 1.7% to $120 million compared to $118 million in the prior year. This performance was driven by higher net price realization of 5.8% and favorable volume mix of 0.1% partially offset by unfavorable currency translation of 4.2%. Operating income for Latin America Beverages up 20% to $18 million reflecting the benefits of the net sales growth and productivity savings, partially offset by inflation. Finally net sales of our coffee system segment declined 0.5% to $1.16 billion in the quarter. This performance reflected higher volume mix of 2.9% more than offset by lower net price realization of 3% and unfavorable foreign currency translation of 0.4%. The 2.9% volume mix growth for coffee systems was driven by an 8.6% increase in K-Cup product volume, partially offset by an 8.6% decline for brewers during the quarter. Will not have being primarily driven by shipment timing between the third quarter and the fourth quarter. For perspective brewer sales in the second half were modestly below year ago. As you know Q4 is a big brewer selling period for retailers and their purchase of inventor can shift between the third and fourth quarter. Partially offsetting these factors is a recent innovation launches that have been very well received in the marketplace. Operating income for coffee systems advanced approximately 9% to $328 million primarily reflecting strong productivity, partially offset by higher marketing expense and inflation. Turning to interest, interest expense in the fourth quarter totaled $139 million reflecting $21 million benefit from unwinding several interest rate swap contracts. Our ongoing deleveraging and the benefit of commercial paper in our debt structure in 2018. You may have also noticed that earlier this month we announced the refinancing of our term loan in an oversubscribed indication that reduced the pricing on our outstanding term loan balance of $2 billion by approximately 30 basis points. The support that we continued to receive from our banking partners speaks to the confidence of our lenders place in KDP. Net income for the quarter increased 28% to $423 million driven by strong operating income growth and a lower interest expense reported in the quarter. Taking all of these factors together our adjusted pro forma diluted EPS in the quarter increased 25% to $0.30 per diluted share compared to $0.24 per diluted share in the prior year. In terms of leverage we paid down approximately $940 million of bank debt since merger closed positioning our bank debt to adjusted EBITDA ratio which we refer to as our management leverage ratio by half a turn to 5.4 times. This aggressive pace of deleveraging is consistent with our expectations and we are confident that we will achieve our leverage target in the timeframe previously committed. This rapid debt pay down in the six months period following the merger close was supported by strong free cash flow delivery. In 2019 we expect free cash flow to approximate $2.3 billion to $2.5 billion which will be a significant enabler to our ongoing deleveraging. We remain firmly committed to achieving our targeted leverage below three times in two to three years from merger closing. And finally in terms of our outlook for 2019, as Bob already mentioned for the full year we expect adjusted pro forma diluted EPS growth in the range of 15% to 17% representing $1.2 to $1.22 per share in line with our long-term merger algorithm. Net sales are expected to grow approximately 2% which is also in line with our long-term merger target of 2% to 3%. Despite the short-term transitory impact we discussed with you last quarter from the changes in our Allied Brands portfolio. We continue to expect merger synergies of $12 million in 2019 consistent with our long-term merger target. There are few items related to changes in the Allied Brands portfolio in 2018 that we do not expect to repeat in 2019. These items totaled $58 million in gains in 2018. Specifically other operating income in 2019 is expected to be a few million dollars of expense as it will exclude the $22 million gain on Big Red recorded in 2018. Below operating income other non-operating income and expense is expected to be an expense of $30 million in 2019 as it will exclude the combined $36 million of gains recorded on Core and BODYARMOR in 2018. Interest expense is expected to be in the range of $570 million to $590 million. This reflects our expectation of significant cash flow generation and continued deleveraging during 2019 as well as the benefit from additional unwinding of interest rate swap contracts which is a strategy we use to manage interest rate risk. Our effective tax rate for 2019 is estimated in the range of 25% to 25.5% for the year. We expect our diluted weighted average shares outstanding to approach $1.42 billion in 2019 including the 16.7 million of shares issued in November 2018 for the acquisition of Core. While we are not providing EPS guidance by quarter we expect EPS growth versus 2018 to be temperate in quarter 2 and quarter 3 due to comping the significant gains on Allied Brands in 2018 that we discussed today. With this perspective you should also keep in mind the following when doing your modeling. We expect our second half synergies to be greater than our first off synergies as our program's build throughout the year. Based on our input cost coverage we expect inflation to be the highest in the first quarter and then moderate over the balance of the year. Finally the shift in Easter into the second quarter this year from the first quarter in 2018 we like the pressure quarter one net sales and operating income in 2019 by approximately $20 million and $10 million respectively. This said before taking your questions I will turn it back to Maria who has some good news to share regarding IRi data
Maria Sceppaguercio: Thanks Ozan. I know the tracking KDP manufactured pod performance is challenging for you using the existing syndicated reporting. I'm pleased to share that in addition to their regular reporting IRi has developed a KDP manufactured sales trends report for single serve coffee that encompasses all of the K-Cup pods manufactured by KDP whether owned, licensed, partner, or private label. This new report will be available directly from IRi beginning in March, I hope you find it useful. With that I'll turn it back to the operator for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Lauren Lieberman of Barclays.
Lauren Lieberman: Great, thanks, good morning. I know you guys went through some of the data points on brewer sales and the dynamics of the replacement cycle but I think that might be -- there might be a bit of confusion this morning around results from the coffee segments. If you could just talk again a little bit about how you were thinking about the role of brewers, brewer sales, brewer profitability, how that may have changed in the long-term plan. And also anything around Pods as you see it as being indicative of kind of consumer uptake, adoption rates things like that because I think what I'm getting from people this morning is just questions around that coffee segment and does this mean that my long standing concerns about legacy KGM business are coming to fruition, so I would just love your perspective on that? Thanks.
Robert Gamgort: Yeah, thanks Lauren, happy to answer that. I mean from our perspective the metrics across the Board on the coffee system are all flashing green. I think our understanding is that sometimes it is a complicated business that requires some thought from our perspective to tell you why we feel that way and it's consistent with what we talked about in the March a year ago Investor Day as well as the follow-up Analyst Meeting that we had. So let me start at a higher level about that metrics that really matter on this business from a management perspective and then I want to drill specifically into household penetration, brewer sales, and a little bit on what we see on pods. So, the way that we run this business is the four metrics that matter are household penetration of the system, hot volume growth, KDP manufactured pod share, and coffee system profitability. Every single one of those metrics is going in the right direction in a very significant way. Household penetration up 7% in the past year to about 22% of households there are now 28 million households in the United States that are using a Keurig brewer on a regular basis. And we still believe there's another 67 million households left for us to target. But at 7% growth in household penetration up to 28 million households is significant. Pod volume growth up significantly. If you take a look at the pod -- K-Cup pod category in IRi plus 10% for the year, incredibly robust. KDP manufactured share up a point to 82% as we talked about and we gave you a list of partners that we've added over the past year, some of them very significant, several of them were unlicensed parties and we haven't lost anyone in the past year. So that speaks to the forward-looking confidence we have in that. And then finally coffee profitability and I get to brewer sales because then people are concerned brewer sales which are zero correlation in the short-term between household penetration and brewer sales and we're going to give you the example of that right now. But also things like mix and pricing. We also look at coffee systems even with the investment and pricing, grew margin in the fourth quarter by 240 basis point and for the year 290 basis point which tells you that we also have incredible line of sight to productivity that we use to protect the pricing investment that we made. So, those are the metrics that matter. Some of those are easier for you to get than others but we're disclosing household penetration on an annual basis as we did today and as Maria said there's now a report available through IRi that will allow you to measure KDP manufactured pod shares. So those are all pointing in the right direction so that you can see the business the way that we do. Let me just talk about brewer sales for a minute. At a very high level we've talked in the past kind of theoretically that you can have a situation where brewer sales were up significantly but had little impact on household penetration because they were all replacements. Similarly we talked about theoretical scenarios where brewers could be down significantly, and household penetration was up because the replacement cycle was different and they were all going to new households. Little more towards that in 2018 and the last quarter which were, brewer sales were down but household penetration was way up. The reason underlying that is actually really good news, a higher percentage of the brewers sold went to new households versus replacement households, why is that. Because the quality of the brewers is up significantly. You can see that by going online on Amazon or Wal-Mart or anywhere else and look at the star ratings of the brewers and how much higher they were than those in the past. We also see it because we see significantly lower returns and significantly lower warranty claims. Those are really good for the P&L in addition to speaking towards a better mix of new users versus replacement users. And the other part is we know as one of the metrics that we track internally is that consumers are happier with their brewers, they don't break and as a result they're holding on to their brewers for longer. So we are in sort of this virtuous situation, it is the opposite I think of being concerned. We're actually very bullish. Because of the quality of our brewers we're driving household penetration and ironically it means that we're going to have some lower brewer sales in situations like we did for the fourth quarter because nobody's -- fewer people are buying than to replace a broken brewer. That means happier consumers in the end. So net-net we see this as all flashing green from that standpoint. Then the last thing I'll say on this point and apologies for the very long answer but I think it's a really important question, in the past when the company lost a significant amount of money on brewers. Everybody wanted to model brewer sales because the more you sold the bigger the negative impact on profitability. Similarly if we made a lot of money on brewers you want to know that because there be a direct correlation to sales going up and down our profitability. We are about breakeven as we talked about. So, to be honest with you brewer revenue going up or down has zero impact on the profitability on our P&L and the only thing that you guys would care about it for is a proxy for household penetration and as I just went through in great detail it's actually a poor proxy for household penetration. So short answers, brewer revenue is really a meaningless metric in terms of our P&L as well as in indicating the health of the system.
Lauren Lieberman: That's great, thank you so much.
Operator: Your next question comes from the line of Judy Hong of Goldman Sachs.
Judy Hong: Thank you and good morning everyone. So I guess the other sort of question or concern that I'm hearing from investors is 2019 guidance and I know it's in line with your long-term target in terms of EPS guidance but if I sort of take the implied EBIT growth in 2019 it looks like it's around 10% versus the 11% to 12% EBITDA growth that you had given previously. So first just wanted to confirm that this is in fact sort of what you're guiding to for 2019 just from an EBIT growth perspective and if so is this reflective of some of the challenges that you called out particularly on I guess the CFT [ph] side and does that imply that you're going to be putting more investments to deal with some of the operating environment getting tougher?
Ozan Dokmecioglu: Hi Judy, this is Ozan. Our guidance as we have communicated just now is on the EPS which is in line with our long term merger target that we put out there of 15% to 17% and on net sales of 2% to 3%. And as you pointed out, we did also provide significant amount of details with regards to the makeup of the P&L and hoping it will make your jobs easier to model it out. And you are right, we put the 11% to 12% operating income guidance back then but as you said it's a long term algorithm. And it wouldn't be right to make a specific comments on a year basis. What matters is how we are managing the overall results delivery over the long term as the name entices. Sometimes there are plusses or minuses here and there but what matters is if we are 100% committed to daily wear two things which is the bottom line of the company as well as the cash deleveraging to reduce our bank debt and overall to get to a lower multiple. On your second part questions, as Bob explained we always look to the business from a holistic basis cold and hot. We make the investments whenever it is necessary and when we look to the brewer side of the equation we have been investing in our campaigns in order to improve the household penetration numbers and came in at 7% growth which was a very robust number. And whenever it is needed as we have been doing we will make all the trade offs and the necessary investments in our cold side of the portfolio as well which included a couple brands of acquisition that we did in the second half of 2018.
Robert Gamgort: Well, I would like to just to add that. I think our role as managers and also as we said a number of times we have a significant amount of our personal investment in the company as well. So we're aligned in creating wealth, is to make sure that we do it over the long-term. So I think what you really want us to do as leaders is navigate really difficult environments, make sure that we're delivering the commitments that we have which we are, right in line with the targets that we gave a year ago despite the environment that everyone else has talked about. But also doing it in a high quality way. So we're getting to these numbers that we talked about while still investing more in the marketing and innovation side of our business. And what's the evidence of that, the evidence of that is that we grew share across the great majority of our portfolio in 2018. Actually if you take away IRi in the first quarter in 2019 we grew share in every single segment of our business. So to be able to grow our business, invest in innovation and marketing, deliver the EPS targets while absorbing inflation that is significantly higher than it was at the time of the merger a year ago I think is, I will show you, I think it is pretty good management and good navigation of the complexity and that's what you want out of us.
Judy Hong: Yeah, and I guess just to follow up on that, just wanted to be clear just in terms of the forward commentary because Bob you alluded to sort of the price electricity pressure on CSD, obviously you have touched these investing pretty significantly in their beverage business this year so if that's obviously is kind of driving maybe some of the caution as we think about 2019 from an operating standpoint why are you sort of managing to get into that long-term target?
Robert Gamgort: Yeah, let me give some stats on that, right. So as one of the offsets but not the only offset to this significant inflation that the industry has faced, we've all taken pricing. And I think it's a victory, the good news it's a very rational industry. When you take a look at the final quarter of 2018 for example, the category pricing was up 5.6%, volume was down 4%, so that's the elasticity impact of the price that you see in the category. For KDP in the fourth quarter our pricing was up 5.9% and these are all in IRi by the way but what's interesting is our volume was down 2.2% so the elasticity impact of our pricing actions is lower, is more muted than you'd see for the industry in total and that speaks to the quality of the brand marketing and the innovation pipeline which means consumers are effectively willing to pay more for some of our brands as a result of all the innovation and the market behind it. So that's why we say we have to be really balanced as management to make sure that we're offsetting inflation with pricing and productivity but we're also on the other side of the equation investing in our brands to continue to drive growth. And we're talking forward-looking but all you got to do is look at the last quarter for evidence of it working.
Judy Hong: Got it, that's helpful. Thank you.
Operator: Your next question comes from the line of Sean King of UBS.
Sean King: Hi, thanks for the question. Can you expand on any benefits from green coffee coming down, is that yet to come or is that sort of being absorbed in the pricing investments?
Ozan Dokmecioglu: Sure, obviously we do have certain coverage positions actually not only in coffee but our cross over commodities that impacts both the categories. And on the base of that, that we have a great visibility in terms of our cost structure in line with the price structure at the same time. It is true that coffee beans have been in the declining mode 18 to 24 months and we take all the opportunities on the basis of the positions that we do have. And all the pluses or minuses have been configured and included in our 2019 guidance.
Robert Gamgort: And the other thing just to build on that Sean is compared to what I would say traditional coffee company the percentage that coffee represents in the total cost of goods sold in a Keurig system is significantly lower than you would see for somebody who's producing traditional roasting ground. Because there's a lot of value add that comes in this single serve format in the delivery of that. So it has a benefit or a negative if we go the other direction. We're well covered so it never is a short term impact for us. We like to be able to plan going forward so we have good visibility for the year. But any movement as you think about coffee in the future, any movement up or down is less of a direct impact on our P&L than it is for sort of a lower value added coffee scenario than K-Cups.
Sean King: Got it, thank you.
Operator: Your next question comes from the line of Kevin Grundy of Jefferies.
Kevin Grundy: Thanks, good morning everyone. Bob I apologize if I missed this but I want from a quantitative perspective all the color on the courage side is very, very helpful. But specifically part of the long term guidance beginning 2019 was that the courage side of business was going to get back to 2% to 3% revenue growth. Are you still confident in that maybe you could touch a little bit on that? Then touch up Bob the composition of pricing and volume. I think the hope was that the price investment was going to kind of tail off after this year and stabilize. Are you comfortable with where pricing is, should we still expect negative pricing as well so maybe if you could talk a little bit about the composition as well? Thank you for that.
Robert Gamgort: It's a great question, thank you. You're seeing it over the past couple of years what you're seeing is we needed -- we made that decision to invest in pricing in a significant, way we did it for two reasons to get all of our partners unlicensed players into the system and to extend the agreements with our partners which has been successful. And also it was the single biggest barrier to consumer adoption of the system. So we were able get two consumer and partner benefits by doing that but obviously we needed to have protection on that by visibility into productivity which for my earlier comment that margin expansion suggests that we have that well under control. The way we sit now, let me talk about pricing for a moment, if you look at the last three quarters of 2018 the average KDP manufactured pod retailed for $0.53. So it's been -- it has stayed relatively stable over that last time -- over the last three quarters. It breaks out into tears that are exactly what you'd expect premium at $0.68, mainstream at $0.49, that's actually a really important metric. So mainstream is just under $0.50 and private label that we manufacture is $0.33. And all of those are within those thresholds that we talked to you guys about from a consumer standpoint below 50. Almost every American says it's no longer expensive at $0.30, most say it's a bargain. So we're right into that structure that we thought about and you're also seeing this pattern of volume doing really well, accelerating and pricing change moderating. So we're going to continue to see some negative pricing. But as that moderates and as volume increases to get to the very first part of your question, yeah we are comfortable with the way that we talked about the revenue growth of Keurig going forward. And it's all falling into line really exactly on plan.
Kevin Grundy: Okay, thank you guys, good luck.
Operator: [Operator Instructions]. Your next question comes from line of Bill Chappell with SunTrust.
Unidentified Analyst : Hey good morning, this is actually Graham on for Bill. Just a quick question on the Dr Pepper side, as you guys have done a little bit more visibility into that business now, maybe looked at some more cost cutting initiatives kind of beyond just the synergy realization, have you found more opportunity here going forward, to me it brings more structure to that system and kind of following on that also, is there a bigger opportunity on working capital from that business and maybe they've seen in the past? Thank you.
Robert Gamgort: Yes, sure. Let me do it first right now, I will ask Ozan to do the working capital part of that question. From our standpoint is we've got the base Keurig productivity programs and the ones that we're investing in significantly like the new plants Spartanburg and the whole reinvention of our pod supply. We have the synergies that we talked about at length and the good news is we're very much on track for that. And then we always look at what are opportunities to drive productivity above and beyond that and we see lots of opportunities in that space. And again with evidence of that, evidence of the fact that we've been able to find more productivity is the fact that we've been able to stay right on track with the guidance that we gave a year ago despite a significant uptick in inflation while at the same time upping the investment in our brands. That tells you that we've been able to find more efficiency within the system that we've been able to deliver a really nice balance forecast for 2019 that delivers the commitments while still investing in the long term health of the business. So, Ozan you want to talk about the working capital side of things.
Ozan Dokmecioglu: Sure and as we shared with you everybody -- we had long-term guidance between 2019 and 2021 in terms of the working capital delivery from an incremental perspective and improvements. And once we had a greater visibility into the legacy DPS [ph] business. We are very happy to share that all the findings were either on the forecast that the anticipated or even better. That's why increases of confidence in terms of delivering our deleveraging commitments as we put out there more than 12 months ago. We are quite pleased with the performance of the working capital coming along and you will see in 2019 and beyond [indiscernible] the improvement as well on our balance sheet.
Operator: Your next question comes from the line of Amit Sharma of BMO Capital Markets. '
Amit Sharma: Hi, good morning everyone. Two questions Bob and Ozan, can you just provide us a little bit update on the new capacity for K-Cups, how far along are we and once it is up and running what does it do to your cost structure? And the second one Bob and that's something that we're hearing today as well. I mean at least if you look at 2019 EPS growth, the bulk of that is coming from cost energies, from the merger, and interest savings. And in the context of what happened to the packaged foods space last week and questions are like once those factors talk to moderate do we have enough visibility that the Base Business is able to continue to grow at this level of EPS growth once you are last on these benefits.
Ozan Dokmecioglu: Well let me start with the last part first. In the last part it is, I think in this environment the fact that we're able to deliver 15% to 17% percent EPS growth while investing in our business and the fact that we're growing across every single segment, growing share gives us a ton of confidence in the sustainability and the health of this business. In terms of visibility I mean we've given visibility at the time of the merger announcement for three plus years. And we're only nine months into a little less than 9 months since we've closed on the business six months from a financial reporting perspective. So we're in the really early days of that. We've got the visibility that we've communicated and again the fact that we're here today saying despite all these changes in the environment we're right on track since we have the flexibility to navigate to the right answer. And we will worry about what happens after three years from now when we get closer to it because we have no idea what the environment is. But in fact that we have that kind of visibility I think puts us in good position versus most of the world. With regard to the pod supply chain all of the savings, all of the pricing, and everything else is all built into the long-term targets that we've given you. So to start pulling those all apart actually isn't really constructive. That's how we're able to do, we're able to do as I said before. A lot of the concerns about brewer sales and pricing, my counter to that is volume up and accelerating household penetration growing very healthy, consumers returning brewers at a lower rate and holding on to them longer because they like them, and margins for coffee systems up almost 300 bps for the year. We get there by the combination of all the things we talked about. So it's all contemplated, it's all built into it. Where are we on one of the big projects within our pod supply chain reinvention Spartanburg, building is under construction, lines have been tested at the manufacturer, they're ready to be installed once the building is done. Things are moving along nicely on that and it's all part of the long-term plan that we put out there before. You got them all. Okay.
Operator: Your next question comes from the line of Laurent Grandet of Guggenheim Securities.
Unidentified Analyst : Hi, good morning, this is Craig [ph] for Laurent. If we could just go back to coffee real fast so I think in the scanner data we continue to see that you're losing share to private label and you touched on the pricing which is really helpful. But could you talk about the interaction of your branded portfolio with private label and then how you sort of reconcile that performance with the fact that you're the third party manufacturer for the majority of private label offerings? And then related to that just how are you looking at the composition of your current branded coffee portfolio especially given sort of the recent press that our major brand could be on the block? And even more broadly than that how are you thinking about potential opportunistic M&A across the portfolio given the constrained balance sheet and that doesn't have to just be coffee and it could be sparkling water for example. So I know there's a lot there but anything you can offer would be helpful? Thanks.
Robert Gamgort: Yeah I will start, you may have to remind me on a couple week later here. We should take them all down. I think, let me just clarify some things on share because there is a lot of confusion on that. First of all we produce the majority of private label pods that are out there. As I said before 82% of the dollar in pods going through the curate system are manufactured by us and that's a point versus a year ago. We said that's one of the 4 metrics that we really track very carefully here. Within that 82% there is a mixture of brands that we own, partner brands that you would recognize as well as some private label brands. The differential in margin between each of those has been narrowed greatly. So we're much more -- we're fairly indifferent to mix within that. All we care about is do we manufacture the pod. And is household penetration growing which means the pod volume is going to grow. So again why are still sitting here so bullish today. The number of households that take on the Keurig system past year the user regularly is up to $28 million which is a 7% growth in household penetration up to 22%. Pod volumes and IRi are plus 10% and our KDP manufacturer share deposits up to 82% up a point. So those are all of things that really matter in the system and that's why the profitability of our coffee systems is so robust in 2018. The mix within there is much less of a concern and again I think there is this confusion where people are quite private label with unlicensed. We do the majority of private label in the margin that we achieve on that is very respectable. The last thing I would say is our owned in license portfolio so those brands that we are actually not only the manufacturer but also the brand owner. Green Mountain donut shop is an example, if you go back they want to have a 100 share of the system. As brands have been added to the system and as grown by definition our share of owned and licensed pods has declined. And we're at a point now where in the latest four weeks at the end of the year at 2018, we had 24 share down about 0.5 versus a year ago. That's all in projected in the numbers that we've talked about and we look at going forward. And we see that as all part of the natural sort of evolution of the system as it continues to grow the single biggest benefit for consumers is branch choice. We want every coffee brand to be this system and we want to be the manufacturers of those pods. That's the way we think about it strategically and again that's why we're so bullish on the coffee system and its delivery.
Unidentified Analyst : On the M&A?
Robert Gamgort: M&A, we don't talk about M&A on any side. I would tell you on the cold beverage side there's still a significant amount of white space in our portfolio. We have filled in that white space through a combination of brands we've acquired like Core, new partnerships that we've entered into like Evian and Peets and other things that we're contemplating in the future including organic development of brands on our own or segments on our own. But the fact that we have available white space in the cold side of folio is net a real positive for the future of this business because it tells you we have many avenues for growth that haven't been pursued yet.
Ozan Dokmecioglu: And you also mentioned that our [indiscernible] multiple and this can be limiting factor. In fact it is the opposite as we have shown and proven the Core acquisitions. We are always more than welcome to use our shares. You know that to buy right targets for us if they do exist as well. So there's no any constraint in terms of the balance sheet and we still 100% committed to our deleveraging commitment at the same time.
Unidentified Analyst : Okay, thanks for the comments.
Operator: Your next question comes from the line of Peter Grom with JP Morgan.
Peter Grom: Hey, good morning everyone, thanks for taking the question. So I just wanted to kind of follow up on your last comment, trying to get your thoughts on the Allied Brands portfolio. So maybe could you provide a little bit more color on -- is performing versus your expectations? And then any commentary you'd be willing to offer on the pipeline new Allied Brands and then aside from organic beverages are there any particular categories you're looking to become more involved in? Thanks.
Ozan Dokmecioglu: So, let's do a quick refresher just for everybody. I am sort of, the Allied Brand portfolio as we sit here today has been transformed versus where we're sitting a year ago and I think a year ago there's a lot of concern what was going to happen and I say again good fast forward to a year later and you say while we got a really good stable partner brands and that provides a source of growth for us going forward. So the new brands we added were Evian, Peets and Forto the brands we acquired were Core and Big Red, the brands that left were FIJI and BODYARMOR and the brands that continued on with us were by the Coco high brew and neuro. So we like that line up and we've got a lot of opportunity in front of us to really now drive Evian, Peets, and Forto which are new brands. It is just getting started in this quarter. There were minimal sales of those businesses in the fourth quarter of last year, that's now ramping up in the first quarter and will accelerate throughout the years as we pick up distribution and that's exactly where we track as a management team is are we getting the distribution, a build that we committed to our partners. Are we getting the pricing and the merchandising performance so all of that is nicely on track. Again having said all that you've got to remember that when you take out two brands like FIJI and BODYARMOR and you add these new ones which are in emerging stages we took quite a hit in the fourth quarter and in the beginning part of this year on revenue because those brands were gone and the new ones weren’t in yet. And that's now more of a tailwind for us going forward because that we build it we're able to get the revenue and profit growth over those businesses that we had absorbed. But I repeat myself as I said a couple of things despite that hit we didn't miss a beat in terms of profit delivery or a commitment to our algorithm. I think we put ourselves in a really nice position to grow. So where are we, the future on Allied Brands. We are taking a very disciplined approach to this, something that we talked about before. There's a lot of interest in brand owners to work with us and through our system as we've all talked about and we now realize first hand. Distribution, DFT distribution into small outlets and cold cases the particular is a scarce resource. And we're one of the partners and it is a really good opportunity for them given that we have so much white space. But we've been really disciplined about the terms of how we will work with somebody. And it either has to be a situation where if we can't own the brand in the future like Evian then we need a really rock solid long term equity like agreement. And by the way the other side wants that as well. But it's a brand that we can own. We want to have an equity stake in that up front and we want to have a path to ownership which means for the most part we've pre-negotiated the terms that exit in the future. What we won't do is just quickly jump into a distribution agreement, make the brand successful, and then have a negotiation with them about what the value of that brand is. That's not something that we're repeating. So short summary on that one is we're really bullish about the brands we have in our portfolio and it's all upside and a lot of work to do to get that distribution. Lots of interest but also its matched with a lot of discipline on our part to make sure that we're entering into this in the right way.
Peter Grom: Great, thanks.
Operator: Your next question comes from the line of Robert Ottenstein of Evercore ISI.
Brendan Metrano: Hey good morning, this is Brendan Metrano for Robert. Had a quick question on marketing spend. So the third quarter you guys had called out the timing of the marketing spend, it was a benefit to operating profit performance and indicated that it can be put towards investments against the holiday seasons and then -- so again we're kind of calling marketing as a benefit to the fourth quarter and so was wondering are you spending the right level or the puts and takes on that?
Robert Gamgort: Let me clarify that. You will get a chance to go through the K but the only comment we made on marketing spend was on the beverage concentrate business not in the other sections of the business. And we're investing heavily both the Keurig system as well as the cold system. And then the other that you have and this is a little more nuance but it's really is important to understand when you put two companies together one of the synergies that you create is more purchasing power on media. And we've got a significant increase in scaling capabilities on our media side now. And what that means is that you're able to get the same reach and quality at a lower cost. So in that situation you could actually spend the same dollars and have a fairly significant increase in the effective reach of those dollars because you bought that media at a better price because of your consolidation. So there's a lot of that all working together but what you need to take away from this is we're not using marketing as a source of profitability at all. As tempting as that would have been given the world of inflation right now and in fact are doing the opposite and investing more behind our total business.
Brendan Metrano: Great, thanks.
Operator: Your next question comes from line of Damian Witkowski of G Research.
Damian Witkowski: Good morning, congratulations on a great 2018. Bob your comments on the Keurig machines and household penetration make a lot of sense. But I'm just curious do you actually have enough information to precisely know whether your Keurig machine is a replacement machine versus a new household?
Robert Gamgort: We do, it's a great question. I mean we use multiple sources internally to get at household penetration and then we are able to get sort of qualitative data below that in terms of how are they feeling about their product [ph], how long have they had it, etc, etc. We also know when somebody drops out of the system, why they dropped out of the system. We also see it as an ongoing data source that is proprietary to us that we have that’s been consistent for years. So we're able to test that backwards against the history to make sure that it's accurate and it's very good. In addition to that we also have metrics on return rates which we get from our customers and also warranty claims and those are really hard numbers and we've seen a significant improvement in those numbers. To give you an example, it's only put the warranty claim in or the return, that actually boosts brewer sales. So if you send people back out there to rebuy a brewer that they turned in warranty perversely that increases the revenue of brewers. I would argue that's a terrible situation. So the fact that we're getting fewer warranty claims and fewer turns is a profit positive to us, it also means happier more satisfied consumers but it also has a negative impact on revenue. And quite frankly we don't care about that because there's no profit or loss impact resulting in that. So sort of a long answer but we really have a ton of data. The other thing that we haven't talked about but I just want to everybody is we have a household panel that's statistically significant. It's about 12,000 to 15,000.00 connected brewers out there and we provide that data to our partners. So if you're in the Keurig system you get exclusive access to this. And it literally captures points of consumption data meaning when somebody brews a cup in this panel we know what they brewed, what brand, what size, which strength and we feed that live to our partners and you get a lot of data in terms of the quality of household penetration around that. So we feel really good about those numbers. We like to give -- we want to give them to you on an annual basis. You can get a proxy for this by looking at household penetration of PAS through IRi. The caution on that is it's volatile for no good reason but over time it's a good proxy but that's why we're going to give you household penetration.
Damian Witkowski: Thanks it is very helpful and then I think did you comment at all about your PRICING Expectations for CSDs in 2019?
Robert Gamgort: I can't forecast it. It's like I said it's a rational industry and it's going to depend on inflation. But the numbers that you can see it on a weekly basis through the syndicated data and as I said before in the 13 week ending December the category was up between 5% and 6% which is pretty robust pricing in a CPG environment. So it's all going to depend on what inflation looks like going forward.
Damian Witkowski: Thanks.
Operator: Thank you that was our final question for today. I will now return the call to Maria Sceppaguercio for any additional or closing comments.
Maria Sceppaguercio: Thank you. Thank you all for listening in today. As always we are around so if you have any follow up questions and you want to talk to us just give us a call. Take care, have a good day everyone.
Operator: Thank you for participating in Keurig Dr Pepper's earnings conference call. You may now disconnect.